Operator: Good day, and thank you for standing by. Welcome to the Q4 full year 2025 Domino's Pizza, Inc. earnings conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. To ask a question during the session, you will need to press 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press 11 again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Greg Lemenchick, Vice President of Investor Relations sustainability. Please go ahead. Good morning, everyone. Thank you for joining us today for our fourth quarter and year end conference call. Today's call will begin with our Chief Executive Officer, Russell Weiner followed by our Chief Financial Officer, Sandeep Reddy.
Greg Lemenchick: The call will conclude with a Q&A session. The forward-looking statements in this morning's earnings release and 10-Ks both of which are available on our IR website, also apply to our comments on the call today. Actual results or trends could differ materially from our forecast. For more information, please refer to the risk factors discussed in our filings with the SEC. In addition, please refer to the 8-Ks earnings release to find disclosures and reconciliations of non-GAAP financial measures that may be referenced on today's call. This morning's conference call is being webcast and is also being recorded for replay via our website. We want to do our best this morning to accommodate as many of your questions as time permits. As such, we encourage you to ask one question only. With that, I'd like to turn the call over to Russell. Well, thank you, Greg, and good morning, everybody. I'd like to start by saying how incredibly proud I am of our team and franchisees as we continue to bring our Hungry For More strategy to life and deliver some of the best results within all of QSR. Before I highlight our great 2025 and look ahead to 2026, I want to provide my perspective on the QSR pizza category in the US. There seems to be a narrative out there that pizza is a challenge, and declining category. That is just not true. Looking back to 2019, you'll find category that has generally grown approximately 1% to 2% per year including last year. 2025. I am confident QSR pizza will continue to grow at this historical rate, in 2026 and beyond. Pizza category is certainly mature, but do not let the challenges that some of our higher profile competitors drive a false narrative. Our competitors' results are not a reflection of the category's health or its future potential. Their results are a direct reflection of our strength. Domino's has dominated the QSR pizza category for over a decade, and we expect our momentum will continue. So to be clear, our growth prospects have never been greater because our brand has never been stronger. Our Hungry For More strategy is working, and we're leveraging the scale and advantages of being the number one pizza company in the world. I want to share what I think is the ultimate opportunity for Domino's in the US. When I look at our current market share in comparison to other leaders within QSR who own 40% to 50% of their categories, I believe that Domino's can double our retail sales from where they are today. Double. We've already achieved this higher market share in some of our international markets, and in some US markets today. I believe there is meaningful growth in front of us for many years to come. I'd now like to review 2025. Another successful year for Domino's. Despite a challenging macro environment that impacted the entire restaurant industry, we proved when we execute against our Hungry For More strategy, we deliver more sales, more stores, more market share, and more profits. Let's start with sales. We grew both our carryout and delivery businesses again this year in the US. Proving that our strategy and tactics are effective and producing best-in-class results. We also drove positive order counts in both our US and international businesses, as you know, order count growth is key to long-term success in the restaurant industry. Next, stores. We drove global net store growth in line with our expectations. In the US, we opened 172 net stores which is impressive in absolute and relative terms. When we benchmark versus all traditional public QSR brands of more than 3,000 units, from 2019 through the 2025. Domino's is number one in net store growth. Number one in pizza, and number one in nonpizza. We grew over 1,200 net stores while half the remaining top 10 public QSR brands were negative over this period. In our international business, China and India continue to perform extremely well and opened almost 600 net stores combined last year. Market share. In the US, our same store sales growth of 3% and success in net store openings led to another point of market share gain, in 2025. Domino's has gained approximately 11 points of market share over the last eleven years. Finally, more profits. All of this growth culminated in a year where we grew company operating profits by more than 8% and our estimated US franchisee per store profitability grew to approximately $166,000. Our strong results can be linked to our strategy directly. Our initiatives were effective effective across all four of our Hungry For More strategic pillars in 2025, I'm going to focus, though, on two of them. One from our most delicious food pillar, Parmesan Stuffed Crust, and the other from our renowned value pillar, Best Deal Ever. Each of these initiatives had a strong 2025 and will continue to positively impact 2026 and beyond. We are really happy with the Parmesan Stuffed Crust launched and and the way it performed throughout the year. It better high expectations on every level mix, incremental new customers, and franchisee profitability. Most important, our in-store teams continue to effectively execute this complex product. While also handling the challenges associated with our record-setting order volume in 2025. And in a year when customers continued to seek value, we innovated with our Best Deal Ever promotion. This price point screamed renowned value and a taste of a pizza that can be customized and loaded with toppings drove our most delicious food perceptions with customers. This promotion also demonstrated our system's operational excellence, as we did a great job of handling these customized pizza. Finally, and most importantly, Best Deal Ever drove franchisee profitability. The scale of our media and purchasing power enables us to drive the volume it takes to make a promotion like this profitable for our franchisees. You know, I've been asked whether or not QSR brands have pricing power anymore given the value consumers are seeking. As you can see from our 2025 results, and our franchisees increased profits, Domino's has something even more important than pricing power. We have profit power. We can offer value to consumers and still create profit gains for our franchisees. Now a big picture view of 2026 and why I believe we will grow our US comp by 3% during what we expect will continue to be a challenging macro environment. Domino's plays the long game. We have a proven track record over the last fifteen years. Our initiatives are rarely one and done. We identify opportunities that have multiple years of growth ahead of them. For example, committed to building our US carryout business back in 2010. It did not stop growing the year after we launched the initiative. In fact, it has grown an average of 10% annually since that time. Our carryout business ended 2025 at approximately $4,400,000,000. It has been a multiple year growth driver. And I believe we still have meaningful growth ahead as we have yet to achieve the same level of carryout market share as we have in our delivery business. Another example of a multiyear growth driver is our loyalty program. We launched it in 2015 made it even better in 2023. Domino's Rewards finished 2025, with 37,300,000 active users. Which is up almost 20% since our relaunch. Our long-term approach to initiatives of apply to what we launched in 2025, and what we plan to launch in 2026. These initiatives are just getting started. We will continue to evolve our product offerings to meet consumer demands, and preferences through two or more menu innovations. These will build on our successful product over the past couple of years that remain a key part of our future growth. Such as New York Style and Parmesan Stuffed Crust. I believe there is more growth to come from these crust types. We will continue to drive the renowned value initiatives that have powered our business. We already have proven winners such as Boost Weeks and our Best Deal Ever promotion, that we relaunched today. And we have a team focused on coming up with new that will grow our business into the future. In 2026, we expect continued growth on aggregator platforms, in particular, on DoorDash, where we were not fully rolled out until midyear 2025. We expect our share on DoorDash to grow as awareness and marketing spend increases. This opportunity is meaningful, as we have not yet reached our fair share on either of the major aggregators. Our business will be amplified this year by our enhanced ecommerce platform, which is a better experience for our customers and our brand refresh that has given Hungry For More a unique look sound, and heartbeat. Lastly, our scale advantages will continue to be a differentiator. We have best-in-class franchisee economics in QSR pizza, the largest advertising budget and a supply chain with incredible purchasing power. As a result, we expect our franchisee store level EBITDA to continue to grow in 2026. Now turning to our international business where we delivered a remarkable thirty second straight year of same store sales growth in 2025. We expect another year of same store sales growth in 2026 and an acceleration in net store growth. Our international business has generally tracked in line with the goals that we set forth back at our Investor Day in late 2023. Apart from Domino's Pizza Enterprises. We continue to work closely with them to turn their business around and are encouraged by the hiring of their new CEO, Andrew Gregory. That they announced recently. Mr. Gregory is a well qualified global QSR executive and brings more than thirty years of QSR experience to the role. Getting the DPE business back on track remains a top priority. As it is key for us in order to return to our international algorithm. In closing, I want to reinforce the same message I've shared with our team. Our strategy is not just about what we are doing. It's about how we are doing it. We remain focused on getting stronger every day. We build for the present and the future. Domino's has always been in the business of creating our own tailwinds and driving growth. That has been and will continue to be how we drive best-in-class results and long-term value creation for our franchisees and shareholders. I'll now hand the call over to Sandeep. Thank you, and good morning, everyone. We are very proud of our 2025 results as we drove profit growth that was in line with our expectations, despite a challenging macro environment. Income from operations increased 7.3% in Q4, excluding the impact of foreign currency. This increase was primarily due to high US franchise royalties and fees, and gross margin dollar growth within supply chain. This was partially offset by a decrease in US company-owned store margins, that were meaningfully impacted by outsized insurance costs. For fiscal 2025, our income from operations increased 8.1% excluding a $600,000 negative impact of foreign currency and $4,000,000 in refranchising gains. Excluding the impact of foreign currency, global retail sales grew 4.9% in the fourth quarter and 5.4% for the year, both of which were due to positive US and international comps, and global net store growth. Within the quarter, retail sales grew by 5.5% in the US, driven by same store sales and net store growth which was in line with our expectations. Same store sales were up 3.7% for the quarter, on the strength of our Best Tea Lover promotion, the launch of our new specialty pizza, and to a smaller extent, aggregators, all of which contributed to positive transaction counts. We continue to manage our aggregator business with discipline, with the aim of ensuring that we are maximizing incremental sales and profits for Domino's and our franchisees. Average ticket benefited from Stuffed Crust. Which carries a higher price point, which was partially offset by a slight decline in our mix, due to a higher carryout business that has a lower ticket than delivery. Pricing was flat in the quarter. Our carryout comps were up 6.5% and delivery was positive 1.6%, due to the previously noted initiatives. For the year, our same store sales in the US grew 3%, which was primarily driven by renowned value promotions, inclusive of best delever as well as our successful launch of Parmesan Stuffed Crust pizza. We also paced well ahead of the QSR pizza category which grew in line with its historical range, resulting in continued share gains. In terms of the breakout by channel, delivery represented 45% of our transactions, and 56% of our sales, while carryout represented 55% of transactions and 44% of our sales. The weight of sales and transactions shifted slightly more to out again in 2025, because of the carryout comp of 5.6%. The full year delivery comp was up 1%. The strong comps that we had flow through the franchisee profits, which we continue to believe are best in class. Our estimated average US franchisee store profitability in 2025 came in at approximately $166,000, up $4,000 over the prior year. Shifting to US unit count, in Q4, we added 96 net new stores, and 172 for the full year, bringing our US system store count to 7,186. Moving to international, where retail sales grew 4.5% in Q4, excluding the impact of foreign currency. This was driven by net store growth of 296, and same store sales of 0.7%, both of which met our expectations. For the year, retail sales grew 5.9% net store growth of 604 and same store sales of 1.9%. Excluding the headwind on our comp sales from DPE in 2025, we would have been in line with our long-term same store sales algorithm of 3%. Moving to capital allocation. This morning, we announced a 15% increase in our quarterly dividend, which was done in line with our capital allocation priorities. We also repurchased approximately 189,000 shares for a total of $80,000,000 in the fourth quarter. At the 2025, we had approximately $460,000,000 remaining on our share repurchase authorization. Now let's talk about our guidance for 2026. Please note that all of the metrics provided exclude the impact of the fifty-third week, which we estimate will have an approximately 2% impact on global retail sales and operating profit growth for the year. We continue to believe that global retail sales growth should be approximately 6%. As part of that, we expect the following. First, we expect our US comp for the year to be 3% and to grow our market share meaningfully in what we expect to be a QSR pizza category that continues to grow. We also expect that based on the timing of certain initiatives, that our comp will be higher in the first half compared to the back half. We also believe that the macro environment will remain pressured throughout 2026. Second, we expect our international same store sales to be 1% to 2% due to continued pressures at DPE, and impacts from our high-volume new store openings in China, which puts a slight drag on our comps despite being beneficial to retail sales. Shifting to net stores. We continue to expect 175 plus net stores in the US, and we have a robust pipeline heading into the year to achieve this. Internationally, we expect to increase our net store growth to approximately 800 stores. This increase is primarily due to DPE's expectation of fewer closures and continued meaningful net store growth from our two largest growth markets, China and India. All this leads to operating income growth of approximately 8% excluding the impact of foreign currency and refranchising gains. A few additional points of color on expectations for the P&L in 2026. We expect our food basket to be moderate, up low single digits. Our supply chain margins to grow year over year due to procurement productivity. We do expect the amount of procurement productivity to be less moving forward than we have seen in the last couple of years. G&A as a percentage of global retail sales to be approximately 2.3%. In February 2026, we increased the technology fee by $0.01 to $0.385 per digital transaction to fund our technology initiatives. Operating income margins to expand slightly in 2026, primarily driven by sales leverage and supply chain margin expansion. Interest expense to be generally in line with 2025. At current exchange rates, we expect foreign currency to have a modest benefit on operating income. We expect our tax rate to be in the range of 21% to 23%, which is consistent with 2025. And lastly, we expect CapEx to be approximately $120,000,000 due to investments we plan to make in our corporate office, before reverting to our algorithm of $110,000,000 in 2027. Thank you. We will now open for questions.
Operator: Thank you. As a reminder, to ask a question, please press and wait for your name to be announced. In the interest of time, we ask that you please limit yourself to one question. Please stand by while we compile the Q&A roster. Our first question comes from Brian Bittner with Oppenheimer. Your line is open.
Brian Bittner: Thank you. Good morning. The question we continue to get, as you're well aware, is related to investors' skepticism about whether you can keep up the solid performance moving forward in '26 after you know, a very successful '25. And taking market share remains an important component of hitting your same store sales target. So can you talk about what you see as the biggest share drivers '25, do you think there's actually an opportunity to accelerate share gains in light of competitive closures and just separately on the industry, it does continue to grow, which I do think may be an underappreciated dynamic. Can you just maybe talk about what's driving the stable growth of of the industry? Thanks.
Russell Weiner: Yeah. Good morning, Brian. A couple of maybe I'll start with the first question, then, Sandeep, you can do on talk about the the second one. Know, when I when I think about '26, I refer back maybe to what I talked about in the script. You know, I think a lot of the discussion has been around almost spreadsheet like look at the year. Okay. You had this last year are you going to lap that? In '26? And, you know, if you look back at our results over time, I think what you'll see is we're not a one and done company. We launched things that got legs far beyond the year in which they're launched, and then we bring new things on top of them in 2026. So, and or 2027, you know, in the future. So, you know, one thing I I can tell you about 2026 is you should expect in line with our Harmony for More strategy, two plus product innovations this year, On o, operational excellence, we're going to still continue to drive efficiencies on our stores, which drive profits, which drives that amazing store count. I talked to you about earlier. And then Renown Value, we're out out there right now with a Best Deal Ever. And so it's just it it's important to understand that when we launch stuff in the examples I gave, for example, were were carry out and loyalty, Carryout, we launched in in 2010, and it's still, you know, Sandeep talked about, you know, over 6% in the quarter. Loyalty continues to grow. So we think all that stuff will continue. Think in '26, in addition to what we come out with, continued growth of loyalty, aggregators, we said we're not at our fair share yet, so there's still still should be both in, Uber and DoorDash growth there. Carryout, we expect to continue to grow. Stuffed Crust, we've got, ahead of us. I think long headway. We got a brand new website that runs better than the old one. A brand refresh. There are a lot of things. I could go on and on, but Greg's telling me I'm running out of time. Sandeep. Alright. So let's talk about industry growth.
Sandeep Reddy: And and I think that to me, as going through even what we talked about the last quarter, we talked about this on the on the on the call. This industry has been growing 1% to 2% for definitely the since 2019 and and even further back. And what we saw in 'twenty five was very representative of what the industry has been doing. Over the years, and we expect it to continue to be doing the same thing going forward as well. And so when we think about this, what is really impressive for us is the way we've actually consistently been gaining market share from our competitors. And I think this is actually highlighted by two things. One is our consistency in driving same store sales growth. The other is our franchisee economics, which are significantly better than the competition. We open 25 with a massive gap against all of our competitors, including the bigger national competitors. Guess what's happened since that time? One of our national competitors has announced that they're had a negative same store sales in the mid single digits. And they also talked about closing a number of stores up to 250 stores. In the first half of the year. All this plays into our strategy to continue to gain market share because we will go into that 1% to 2% growth in the industry with less doors outside which we can actually take share from effectively and grab those sales. And this is just a continuation of what we talked about at Hungry For More and what we've been doing for years. That's how we look at what's going to come in 2026 and beyond.
Operator: Thank you. Our next question comes from Dennis Geiger with UBS. Your line is open.
Dennis Geiger: Great. Thanks, guys. Congrats on the strong four and full year results. Russell and Sandeep, I wanted to ask a bit more on the US sales outlook for that 3%. You guys gave a lot of detail around plenty of runway from those existing initiatives that you came out with last year. Would it be possible to kind of highlight how you think about contribution from those existing initiatives versus maybe some of the newer stuff, whether it's the two items, other promotional deals this year. From from newer stuff. Any high level thoughts just on, hey. Is is the bulk of of what drives the US comp from from initiatives that are already in play versus some of that new stuff that may come out this year that will we'll see more as as the year goes on.
Sandeep Reddy: Hey, Dennis. It's Sandeep. So I'll take this and I think I'm going to just do a bit of a framing, and then I'll get into some of the initiatives that Russell already talked about, but I'll just repeat them afterwards. So first of all, I think from a same store sales perspective, we talked about 3% for the year. We did say it's going to be higher in the first half than the second half. And I would be remiss if I didn't address what I think a lot of the industry has already been talking which is weather has been tough in January. It had a disruption on us. We had to close a number of stores like many others. And that factor is included in our same store sales estimate. So we acknowledge the pressure in the early part of the quarter. But I think we in our business, weather tends to even itself out over the year. And so as far as we're concerned for the full year, we do not see that being an impact. But clearly, it was a disruption in January. And I want to make sure we we hit that and and and make sure we address it. So in terms of the initiatives, Russell talked about it a lot in the prepared remarks. But look, the the thing about our business, and I'll acknowledge this, last year definitely had a few headline events that we talked about in 25. We were really thrilled with Parmesan Stuffed Crust. We were really excited to be launching with DoorDash. DoorDash. And and I think the the really cool thing was we'd already talked about renowned value. Then we brought in best deliver that ended up being a significant comp driver. None of these go away. They're they're all definitely there in the business in our in our baseline. And we expect these to compound over time as we move forward. Addition to that, Russell talked about the carryout business. Which has been on a tear. I mean, that we we grew 5.6% on the back of significant growth in the previous year as well. And just going back to the fact that we've actually gotten to $4,400,000,000 on the carryout business. Which is bigger than two of our national competitors on their total business. So in order of magnitude, with that kind of base, the compounding impact of growth on that on our total sales is very material. You then take the layer that we added as an accelerator to it, which is the loyalty program, that we launched in 'twenty three, We stated before that our objectives with the loyalty program was definitely to be catered much more to the carryout customer. And also to attract live users. And we just talked about the fact that we're up 20%. On the number of customers that have come into our loyalty program. So that becomes an accelerator to this fantastic carryout business that we're talking about. And then last year, when we initially talked about it, we talked about return value, but we did not talk about Best Deliver. But Bestie lever came, and it actually drove significant value for our consumers and for our profits as well. So we have a whole bunch of initiatives, back to what Russell talked about on the menu items that are going to come out, and we're going to lean on our four pillars. Lean on our four pillars and drive multiple initiatives that add up to the set 3% We do not talk about all of them just from a competitive perspective. But believe me, the competitors will find out as we go through the year.
Operator: Thank you. Our next comes from David Palmer with Evercore ISI. Your line is open.
David Palmer: You know, question on delivery. I I think one of the things that to this is a bit of a follow-up to Brian's question is is know, just people have a hard time seeing long-term sustainable delivery same store sales growth. They they look at what happened in '25, particularly the fourth quarter. There was the Best Deal Ever and more promotional intensity, but also, obviously, DoorDash And the delivery comp was was 1.6%. It was, you know, up. But but that was a lot of firepower against it. It feel felt unusual. So I guess maybe, you know, how do you reflect on the fourth quarter, the 1% for '25, and just your outlook for delivery, that that half of the business going forward on a sustainable basis. Thank you.
Russell Weiner: Yeah. Thanks, David. You know, the way I look at delivery especially regarding the aggregators, is we're we're not at our fair share. So our our you know, we're about one of every three deliveries out there. We're not on that on Uber. Which has been more than a year, and DoorDash, which we got fully up to call it Q3 of, last year. And so that was kind of my point from before. When we when you launch something, you do not get to the full potential year one unless you're managing it in a irresponsible way, we continue to manage those two platforms, for incrementality. Because a lot of our, kind of self help initiatives are doing well. And so we're growing it slowly over time. We're not at our fair share. So there there there definitely is, upside. Second, when you think about what works on those platforms, it's what works in the, digital media. You know, we've got, what works in digital media is the expertise on how to run it. And the dollars in order to, you know, buy your your your media placement. We we do really well on marketplaces. And all these things are are marketplaces. And I think last is, the the the business is a delivery business and a carryout business. So I still think, and we are, growing our delivery business We're still not at our fair share yet. But remember, carryout is actually bigger than delivery. We only do one out of every you know, five carryouts. And and that business is growing significantly. So I think you know, at the end of the day, what folks are looking for is growth. I'm going to I'm going to add a little bit more texture, though. Because we've been we concentrate a lot so far on the call on same store sales. I want to take a step back and just really point out the engine that is Domino's Pizza. Which is same store sales and store growth. Right? You know, we talked about and I I I this may have been a surprise to some of you. If you look back to 2019, pizza or not pizza, if you look at public restaurants, with 3,000 stores or or above, we're number one in growth. And so part of the reason I think you're seeing the impact on the competitors that you are is because now people have a choice in their neighborhood. And Domino's is there. When Domino's there, they pick Domino's. When we grow these stores, especially from a split perspective, we split an area, two things happen. 80% of the customers that come in on carryout are incremental, But, David, to your point before, delivery business gets more efficient. And the quicker we can get more hot pizza to our customers, the better it is for your delivery business. So all of this truly is the domino effect. Of all the initiatives working together.
Sandeep Reddy: And, David, think I'm just going to just add a financial component just to make sure that we I think Russell talked about that we're managing the business for incrementality. And profitability. And and and really playing the long game. But I think when you put numbers to what Russell was talking about, you take the 1% same store sales, you add the store growth, you're talking about three plus percent or around 3%. Growth in retail sales on the delivery business, which far outpaced QSR pizza delivery. And we gained share. We gained about a point of share in delivery We gained about a point of share in carryout, and a point across the entire business. So we're really happy with the delivery business and what we got out of it in 2025, and we're very confident as we move forward in '26 as well. Especially given the really tough macro backdrop that we've been seeing in '24 and '25.
Operator: Thank you. Our next question comes from David Tarantino with Baird. Your line is open.
David Tarantino: Hi, good morning. Russell, I think you mentioned the concept of doubling the US retail sales over time. And I do not recall you mentioning that before. So I guess if if you could clarify that as is is it a new goal to do that? And then I guess my questions are, you know, over what time frame do you think that's possible? And and does that sort of imply your thinking a little differently about the unit opportunity? I think you mentioned 8,500 plus at the, at the last investor meeting. Is it now something maybe higher than that as you think about the current competitive landscape? Thanks.
Russell Weiner: Thanks, David. You know you know, the interest in anything I started downloads in in September 2008. And I remember back when we hey. We're going to be the number one pizza company out there, and and, that seemed like a a a stretch. And, you know, obviously, we're we're at that today. And and and so what I do is is I just look at a couple things. One is our continued the the continuous gain in market share. A point a year for the last eleven years. I then say, okay. Well, let's look at other categories. Where the and what are the share of the number one players? Where we're about one out of every, you know, four pizzas. Well, the number one players are 40 50 share. And look at and and and so looking at where we are, the assets we have in our franchisees their profitability, our marketing, this this should just you know, it why should not we be as big as the other players are, you know, in their in their category? It it's something we we have continued to do over time, and and we're headed that way. So it's, yeah. It's it's it's part and part partial for for for for what we've been achieving.
Sandeep Reddy: Yeah. And David, I think from a guidance perspective, we've really talked about guidance through 2028. And that really implies a point of share through 2028. And we're only not going to comment past 2028 in terms of cadence, but I think we just framing the opportunity just like we did, say, 85 stores. We now believe that there's an opportunity to get to double our retail sales of about $10,000,000,000. Yeah. Over time. And I think that's really super important. And I think the other thing that Russell, I think, said at Investor Day, if I remember right, is every single time we thought we'd actually come up with a new goal in terms of full potential, that goal just kept going up. I think it was the six high six Yeah. But I I never 6,000. It was 7,000. Then it's 8,500. And it's not because we're bad at forecast.
Russell Weiner: One of the things, that happens, I talked about store growth before. Is and you're seeing this. When we grow and we grow closer to where our competitor is, a lot of times we close that store. And so if you think about competitive closures, that actually is more opportunities for more stores. And so that that's something we're going to continue to lean in on I'd really urge people. I know it's same store sales are a number everyone focuses on, and we are too. You know, we're we're guiding to 3% this year. But if you do not take a step back and look at total retail sales, which includes sales from the new stores, you're going to underestimate, as Sandeep said before, how well we're doing in the delivery. But you're also going to underestimate how well we're going to do in the future. Because we are putting more points of contact for consumers out there.
Operator: Thank you. Our next question comes from Peter Saleh with BTIG. Your line is open.
Peter Saleh: Great. Thanks and congrats on a great quarter and year. I wanted to ask maybe if you guys could comment a little bit on the performance made by income cohorts. There's been a lot of discussion about that younger lower income guests kinda stepping back. You guys give us a little bit of color on what you're seeing there? And then also, you know, historically, you've been talking about how delivery and carryout are kinda separate occasions, different customers. Has that changed recently? Have you seen any more switching between the two, or has that stayed pretty consistent? Thank you.
Russell Weiner: I'll maybe do the income cohort question. You can follow-up. Yeah, Pete. Morning. We certainly, in QSR, there's been a lot of stuff written about the lower income cohort declining. That is not something that has happened in Domino's. We grew and for the full year. that we grew all income cohorts in Q4,
Sandeep Reddy: Yeah. And look, we've been seeing very consistent in terms of the delivery carryout overlap, which has been the mid teens. Over time, and we haven't really seen a change on that. So these tend to be very different occasions. And that's great because the addressable market is available for both sides.
Operator: Thank you. Our next question comes from Gregory Francfort with Guggenheim. Your line is open.
Gregory Francfort: Hey, thanks for the question. My question is just Russell, can you provide an update on maybe changes in '25 to your tech stack? You guys are you're known as a a technology forward company. And then as you look to holes or things you're trying to address in other '26 or in the next couple of years, what stands out Thanks.
Russell Weiner: Yeah. Well, you know, last year was a a big year for us on the consumer side, you know, and the and the store side. We, relaunched our, ecommerce site online and, also mobile web. We will be launching this year the apps, versions of all those, the new site that's up already is performing better than the old site. Which is something that we said that we were going to do. We're focused on the same things for know, the app as well. Additionally, our our our DOM OS system continues to get better. And and so, Greg, just as a reminder, that's our system in store that helps our our that helps run the store. And we we, talked a lot last year about this idea of know, I've talked this this one forever. You know, we make products before consumers finish ordering them. Because of our technology, we're able to to to look at ahead of the order. But, also, from a dispatch standpoint, you know, we have smart dispatch that helps route our orders with our stores. Well, now the the the front end of that, the order, and the back end, the dispatch, are starting to talk to each other and with with with or via an orchestration engine. And so now if there is not going to be a driver back we have this in about six stores now, so I expect this to continue to increase. If there's not going to be a driver back in time, to get a pizza when it gets out of the oven and it's going to get out of the oven couple minutes later, Well, our our technology, this orchestration agent, will hold that order so the store does not see it. And so, you know, my goal at the end of the day is is is kinda real time pizza making and delivery. And so that's some of where we have been. And some of where, we're going both on the consumer and the and the store side.
Operator: Thank you. Our next question comes from Danilo Gargiulo with Bernstein. Your line is open.
Danilo Gargiulo: Great. Thank you. Sandeep, I wonder if you can give some color on this. Insurance cost, like outside insurance costs that are impacting your restaurant level margins in your stores. And more in general, can you comment on the level of restaurant level margins that you're targeting this year? And what do you think is sustainable, maybe not just for Domino's, but for the rest industry or maybe for the pizza category. As a restaurant level margin going forward? Thank you.
Sandeep Reddy: Yes, Daniel. Thanks for the question. And look, I mean, think when we and I about in the prepared remarks as well, the corporate stores, which are about 260 out of the total 7,001 200 that we have roughly, is one that was impacted by the outsized insurance cost. It definitely impacted the corporate store P&L. I just want to first just say, yes. This was material to the corporate store P&L. And it was big enough that we called it out at the company level as well. However, when I look at the franchisee performance, and I look at what we actually delivered as a franchisee performance, had a 3% same store sales growth last year. And if you go to the franchisee economic, it it grew at approximately the same rate. So we held the margins And so including all of these insurance pressures, there are levers that the franchisees in the much larger portfolio that we have in their their their remit basically are driving very good profitability. So we do not really have concerns about the franchisee economics, and I want to make sure that I I touch on that. That being said, we are conscious of the fact that there's insurance pressure in the marketplace, and it it did impact us. And so we want to acknowledge it. We want to be clear. And we need to find ways to find productivities to offset some of these pressures and we did. In 2025. And we're able to actually find a way to actually grow our profits 8%.
Russell Weiner: And, you know, I'd just say, you know, the other thing to think about is on the franchisee side is that we ended last year the average number of store per franchisees was nine. And so the enterprise profit for our franchisee is, you know, kind of approaching $1,500,000 now, which know, if there are bumps in a in a particular year, allows them to to get through those bumps. And so we're excited not only that the store level, profits are increasing, but the enterprise ones are as well.
Operator: Thank you. Our next question comes from Sara Senatore with Bank of America. Your line is open.
Sara Senatore: Thank you. Actually, one quick follow-up and a question. The question is actually about the delivery business. And I guess broadly across the industry, it seems like exclusively the growth, and this is not just pizza, this is everywhere, is coming in 3P versus 1P. So we hear a lot from other companies talking about how, you know, 1P has either been steady or mostly, you know, declined. So was just curious whether you think, you know, there is continued to grow 1P delivery Again, this is more industry wide. Or if we've sort of gotten to a point where growth kinda comes exclusively on the aggregators, again for for the restaurant industry as a whole. And then just quickly on the the comp, I do not know if you disclosed the price you had on the fourth quarter, but just wanted to see if I could get that. Thank you.
Sandeep Reddy: Hi, Sarah. Yeah. No. I'm going to I'll address both these questions, and let let's start with the delivery business. And I I think it's more of a broad industry comment that you're making on 3P versus 1P. And and I I guess with 3P having really been in place for close to a decade at this point and actually gained scale around the time of COVID, Many other restaurant companies had already gone on to the three well before we did. We only got on 23, '24. So we're in the process of getting on to 3P like Russell talked about earlier. So I think it's a little bit early to actually see kinda what's happening overall. We've we have a sense that overall, delivery business has been pressured in the last couple of years with the macro. But it still grew. And I think we still are seeing share growth overall. And and we're managing for incrementality and profitability like we talked about. So we do see that there once things stabilize and normalize, once we've annualized completely on 3P, there should be growth both in 3P as well as 1P, and we should participate in both sides. So so with that, I'm actually going to move to the comm question that you and you asked about pricing. And you may have missed it, but I said pricing was flat. And that's why we we are so happy with our franchisees. The discipline that our franchisees have actually shown over the last few years going into Hungry For More and then since we've sort of been been executing Hungry For More has been fantastic. And that's why Russell talked about profit power versus pricing power, this is exactly what it is. With that type of pricing, we're able to drive incremental profits to our franchisees. And these economics are just the envy, I'm sure, of everybody in the industry.
Russell Weiner: Yeah. So you think back to the comment earlier, on same store sales. The quality of the same store sales being order count driven. Versus ticket driven really speaks to the opportunity in the future. The kind of basic marketing is trial, repeat, depth of repeat. You do not increase trial when you increase price. Right? But the reason why people keep coming back for carryout and loyalty and Stuffed Crust and all of these products, is because we maintain a fair price and we have fantastic execution by our franchisees. So the quality of how we got to the 3% gives you a sense of why we're so confident. That that's going to continue.
Operator: Thank you. Our next question comes from John Ivankoe with JPMorgan. Your line is open.
John Ivankoe: Hi. Thank you. The question is on US store growth. And certainly, Russell, your comments around the US market opportunity being double what it is, is very interesting. So, you know, comment on, you know, the path to 7,700 US system stores in 2018, if we have a chance, to front load any of that, especially given some competitor kind of softness. You know, is there a date, you know, where you could do 8,500 stores in your mind? And, know, I know you've, you know, kind of been doing under 200 stores a year net in the US. Does it make sense to actually go higher given higher market opportunity? And where I'll conclude this question, and they're all related into one. Is how we're thinking about store splits. In other words, the impact of a new store sales on existing stores that very well may share existing delivery trade area. Are you able to better measure that and perhaps minimize the impact to a market overall? Thank you so much. For answering the new store development question. Thank you.
Russell Weiner: Yeah. Sure, John. I mean, I think the better way to look at our store growth is actually look at closures. So we closed in the US last year on a base of over 7,000 stores. Seven. The year prior, we closed six. And so when we open up a store, it stays open. And we want to continue to be as aggressive as we can. And as I said before, since 2019, no one's been more aggressive than us. You can open a lot of stores, but if your net store number isn't big, then all you're doing is replacing one with the other. So we're going to be as aggressive as we can to continue make this a partnership with our franchisees and and both win. And and so you know, that to me, the closures is the more important thing. And that increases that and profits increasing. Increases the interest our franchisees to invest.
Sandeep Reddy: Yeah. And and and I think, John, you you did mention splits and the impact of splits. So this is the reason to be very careful at what pace you go. Because when you do do the splits initially, you take a little bit of a step back and then you grow into it. So the profitability of the franchisees needs to be protected as we go along this growth path, and that's exactly the approach that we take. And and it's because we're protecting that profitability back to what Russell said. Seven stores last year, six stores the previous year. And and that's that's something that we keep in mind and are very careful and conscious about, to not go so fast and recklessly where you could have an impact where you end up having store closures. We want to protect against that.
Russell Weiner: Not go so fast, but still faster than anyone else with over 3,000 stores in the US.
Operator: Thank you. Our next question comes from Chris O'Cull with Stifel. Your line is open.
Patrick: Thanks guys. This is Patrick on for Quick. For Chris. My question was just on international development. I was hoping you could could comment a little bit more on the visibility you have into the pipeline today for twenty six Just any potential risks to that 800 units this year and and just your level of confidence around how achievable that is. And a longer term, I mean, I know it's been a couple of years, and you talked about the importance of getting DPE back to being a net contributor. But do you have multiple paths to get back to that $9.75 a year over time? Can India accelerate or China Or does it have to be DPE getting back to you know, the level of contribution that they had previously? Thanks.
Russell Weiner: Yeah. Yeah. Both India and China actually have accelerated And a good portion of those 800 stores are going to come from from, from from those markets. So look, we we talk we talk about another 200 stores this year versus last year. So with the closures of DPE behind us, some of that headwind is gone. Now them returning to growth is part of what gets us back to the algorithm. If you look at the algorithm we talked about, you know, Hungry For More at our Investor Day, the the the major cause for any slight miss in that algorithm on the store side or this year, as Sandeep pointed out, on the same store sales side, has been DPE, which is why know, we're so encouraged, with with their new hire of, of Andrew Gregory. The amount of work we're doing together Sandeep, next week is getting on a plane. He's going to bring his pillow from home, so he'll sleep well. Going to Australia with our head of international, Wei King. Know, we're on the phone top to tops all the time, and we're working with them to to turn around that business. It's an important part of our growth, one last thing I'd say on DPE Australia in particular, You know, when I was talking about earlier, places around the world where we're 40 50 share, Australia is one of them. And so that is a place from which we are certainly need to, fix the the the business. But we're we're we're working from a a place of strength. In Australia.
Sandeep Reddy: And and and, Patrick, I'm just going to add one thing just on the the the guidance topic since you brought it up and you asked about the parts. And two different things. When we look at where we are either for last year or for the guidance that we're talking about, really speaking, excluding the impact of DPE, Generally, We're In Line With The Rest Of The International Portfolio. And While India and China have been doing fantastically and accelerating, that was already in kind of what our expectations were. So it's great, but but I think I just wanted to make sure that you're clear about that. And I do not believe that ex DP getting back to what our initial assumptions are, there's a pathway to get to the nine twenty five that we initially guided to. Because everything is just really running to plan. It's not running ahead of plan. And so I just want to make sure that that's clear as we as we talk about the outlook for the year.
Operator: Thank you. And our final question comes from Jeff Farmer with Gordon Haskett. Your line is open.
Jeff Farmer: Thank you very much. Just a quick follow-up to Sarah's question. And then another one real quick. But what menu pricing is assumed in that 3% same store sales guidance for 2026 coming off the flat pricing in Q4? And then can you guys just share any impact you've potentially seen on as relates to GLP ones and your business? Just any update there. Would be helpful. Thank you.
Russell Weiner: Yeah. I'll do the the GLP one and and share the pricing. Yeah. So on GLP one, obviously, we're we're con we continue to watch that closely We have not seen an impact on our business so far. Obviously, with it coming out in pill form, we're going to wait and see if if if there's any implication you know, there. Right now, though, when you read the literature on on GLP ones, it's really more kind of breakfast and lunch focused. And know, dinner for us is a sharing occasion, so perhaps that's why we're not seeing any impact, but we're going to continue to watch And with, you know, 34,000,000 ways to make a pizza, got a lot of choices out there. But if if if there needs to be menu innovation around that, we will do that.
Sandeep Reddy: Yeah. And and I think specific to pricing, you'll probably catch in the transcript when you list or read or listen to it later. But we talked about low single digit expectations on pricing. For 2026, and that's what's embedded in the 3% guide.
Greg Lemenchick: Thank you, Jeff. That was our last question of the call. I want to thank you all for joining our call today, we look forward to speaking to you all again soon. You may now disconnect.